Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Q4 Fiscal Year 2020 Autodesk Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to you speaker today, Mr. Abhey Lamba, VP of Investor Relations. Thank you. Please go ahead sir.
Abhey Lamba: Thanks operator and good afternoon. Thank you for joining our conference call to discuss the results of our fourth quarter and full-year of fiscal 20. On the line is Andrew Anagnost, our CEO, and Scott Herren, our CFO. Today’s conference call is being broadcast live via webcast. In addition, a replay of the call will be available at Autodesk.com/investor. You can find the earnings press release, slide presentation and transcript of today’s opening commentary on our website following this call. During the course of this conference call, we may make forward-looking statements about our outlook, future results and strategies. These statements reflect our best judgment based on factors currently known to us. Actual events or results could differ materially. Please refer to our SEC filings for important risks and other factors that may cause our actual results to differ from those in our forward-looking statements. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented during the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. During the call, we will quote a number of numeric or growth changes as we discuss our financial performance and unless otherwise noted, each such reference represents a year on year comparison. All non-GAAP numbers referenced in today’s call are reconciled in the press release or the slide presentation on our investor relations website. And now I would like to turn the call over to Andrew.
Andrew Anagnost: Thanks, Abhey. We closed fiscal year 2020 with outstanding Q4 results with revenue, earnings and free cash flow coming in above expectations. Recurring revenue grew 29% and we delivered $1.36 billion in free cash flow for the year. Our results were driven by strong growth in all geographies. This was a landmark year for us in Construction as we absorbed our acquisitions and integrated our offerings under one platform – the Autodesk Construction Cloud. Subscriptions now represent around 85% of our revenue, and we exited the year with maintenance contributing less than 10%. Fiscal year 2020 marked the end of the business model transition for us, and we are entering fiscal 2021 firmly positioned to deliver strong, sustainable growth through fiscal 2023 and beyond. It was three years ago that we first communicated our fiscal 2020 free cash flow goal. We have delivered on that goal, which is a testament to the adaptability and focused execution of the Autodesk ecosystem, and the power of our products. I want to acknowledge and thank our employees, partners, customers, long-term investors and everyone who helped us achieve these results. While the path to delivering on our long-term targets was not always smooth, everyone who stayed with us and believed in the transition has been rewarded. Beyond that, the dramatically reduced upfront costs created by the subscription model have enabled a whole new class of customers to purchase our most powerful tools; opening up not only new opportunities for our business, but for the businesses of our customers as well. Before we get into our results and guidance, I want to mention that our thoughts are with those affected by the coronavirus. The safety and security of our employees is our top priority. We are also minimizing potential impact to our customers and partners. The events are not currently impacting our service levels for our customers or global R&D efforts. We will continue to monitor the situation and take precautionary steps. Now I will turn it over to Scott to give you more details on our results, and fiscal 2021 guidance. I’ll then return with a summary of some important recognitions we received, and insights on key drivers of our business, including updates on Construction, Manufacturing and our progress in monetizing noncompliant users before we open it up for Q&A.
Scott Herren: Thanks, Andrew. As you heard from Andrew we had strong performance across all metrics with revenue, earnings and free cash flow coming in above expectations. Demand in our end markets was strong as indicated by our robust billings and current RPO growth. And the sum of our revenue growth plus free cash flow margin for the year was 69%. Revenue growth in the quarter came in at 22%, versus a strong Q4 fiscal 2019, with acquisitions contributing three percentage points of the growth. Strength in revenue was driven by subscription revenue growth of 41%. For the full year, subscription revenue was up 53% and, as Andrew mentioned, subscriptions now represent approximately 85% of our revenue. With the success of our Maintenance-to-Subscription program, we exited the year with maintenance revenue contributing less than 10% of total. Total ARR came in at $3.43 billion, up 25%. Core ARR grew 21% and Cloud ARR grew 102% to $255 million. When adjusted for acquisitions, Cloud ARR grew an impressive 30% driven by strong performance of BIM 360 Design. Now that a year has passed since we completed the acquisitions, our entire Construction portfolio will be organic starting first quarter of fiscal 2021. Moving onto details by product and geography: Starting with AutoCAD and AutoCAD LT, revenue grew 24% in the fourth quarter, again versus a strong Q4 fiscal 2019 and 30% for the year. AEC grew 30% in Q4 and 35% for the year, while Manufacturing rose 15% in Q4 and 18% for the year. M&E was down 5% in the quarter, primarily due to a large upfront transaction in the fourth quarter of last year. M&E revenue was up 9% for the year. Geographically, we saw broad-based strength across all regions. Revenue grew 21% in the Americas and EMEA and 26% in APAC during the quarter. We also saw strength in direct revenue, which rose 26% versus last year, and represented 31% of our total sales, relatively in-line with the fourth quarter of last year. The strength in our direct business was driven by large enterprise business agreements and our digital sales. As we indicated in the past, we plan to provide an annual update on our subs and annualized revenue per subscription, or ARPS, performance. During the year, we grew total subscriptions 12% to 4.9 million, with subscription plan growing 26%. We added 181,000 cloud subscriptions due to strong adoption of our BIM 360 family products as well as 79,000 subscriptions from PlanGrid and BuildingConnected. ARPS grew by 11% for the year to $704 with Core ARPS growing by 10% to $798. With only one quarter left in our maintenance to subscription, or M2S, program we have approximately 400,000 maintenance subscriptions left. I am proud to share that we have converted over 1 million maintenance subscriptions to-date. We will be retiring maintenance after May 2021 and customers will have one last opportunity to renew their maintenance or trade-in their maintenance seat for a subscription between now and May 2021. Please refer to the slide deck posted on our Investor Relations website for additional details around the trade-in offer. As expected and consistent with last quarter, the maintenance conversion rate was 40%. And of those that migrated, upgrade rates came in at 26%. Net revenue retention rate was again within the 110% to 120% range, continuing to demonstrate the growing strategic value we deliver to our existing customers. Billings growth of 43% in the quarter and 55% for the year was driven by organic growth and as expected, the normalization of our multi-year contracts. The strength in our multi-year commitments from our customers is an indicator of the strategic importance and business critical nature of our products. Our long-term deferred revenue ended up slightly higher than we anticipated but our multi-year business is at a sustainable level and is not creating a headwind to our future free cash flows. In fiscal 2020, we delivered $1.36 billion in free cash flow with $684 million coming in the fourth quarter, delivering on a key goal we set out three years ago. We expect to post annual growth in our free cash flows through fiscal 2023 and beyond as net income will start driving a greater portion of our free cash flows versus deferred revenue. Our total remaining performance obligation of $3.6 billion is up 33% and our current remaining performance obligation of $2.4 billion grew 23%. On the margin front, we continue to realize significant operating leverage due to strong revenue growth and diligent expense management. For the full year, non-GAAP gross margins were very strong at 92%, up two percentage points from last year. Our non-GAAP operating margin expanded by 12 percentage points to 25%, we are on track to deliver further margin expansion and attain approximately 40% non-GAAP operating margin in fiscal 2023. Consistent with our capital allocation strategy, we continued to repurchase shares with excess cash. During the fourth quarter, we purchased a little over 1 million shares for $191 million at an average purchase price of $189.52 per share. During the year, we fully offset dilution from our equity plans, purchasing a total of 2.7 million shares for $456 million at an average purchase price of $168.63 per share. Now I’ll turn the discussion to our outlook. We have taken into account the current macro environment and potential risks involved with any disruptions. Our direct exposure to China is small, and our experience with past outbreaks showed limited impact to our sales. While we will continue to monitor the situation more broadly, we expect total revenue to grow by 20% to 22% in fiscal 2021 and expand non-GAAP operating margin by about five percentage points. During the year, we plan to deliver free cash flow in the range of $1.63 billion to $1.69 billion, up 20% to 24%. When looking at the quarterization of free cash flow for fiscal 2021, given normal seasonality and strength of payment collections and large deals signed in the fourth quarter, we expect about two-thirds of our free cash flow to be generated in the second half of the year. Looking at our guidance for the first quarter, our strength in the fourth quarter presents a tough sequential compare. Given our normal seasonality, other revenue in Q1 is expected to be about half as much as we experienced in Q4. The slide deck on our website has more details on modeling assumptions for the fiscal first quarter and full year 2021. Now, I’d like to turn it back to Andrew.
Andrew Anagnost: Thanks, Scott. We just closed a landmark fiscal year and delivered on the free cash flow target we set over three years ago when we began the business model transition. Now let me give you some details about what is happening across our business. First off, fiscal 2020 was not only a year of financial achievements, but also a year where we increasingly enabled our customers to realize more sustainable outcomes in their work. In fact, we were recognized by the Corporate Knights for being in the top five of the world’s most sustainable companies and Barron’s ranked us 10th on their list of 100 most sustainable companies, making us the highest-ranking software company on both lists. This recognition is not only a testament to how responsibly we run our own business, but, more importantly, how we help our customers meet their own sustainability goals, which brings me to construction. Our construction business had an outstanding year and ended the year with great momentum. We are looking at construction in a more connected way than ever before, and our offerings are resonating with our customers. The Autodesk Construction Cloud delivers advanced technology, a network of builders, and the power of predictive analytics to drive projects from the earliest phases of design, through planning, building and into operations. Customers are excited about the unified platform and are recognizing that the breadth, depth, and connectivity across our portfolio sets us apart from our competition. For example, CRB, a design-build firm with offices across the U.S. and internationally, was using each of our four products independently. When they understood our vision for Construction Cloud to deliver a unified solution that integrates workflows connecting the office, trailer and field, CRB signed an enterprise business agreement with Autodesk for the solutions offered under the Construction Cloud. They are aligned with our vision of a unified solution that provides the entire construction lifecycle, from design through long-term maintenance, with all the design and make data they need in one place so information is not siloed or lost, and work gets done more efficiently. Leveraging data efficiently is critical to CRB’s new project execution concept, ONEsolution, which brings time, cost, quality and safety benefits to everyone involved. We provide the only truly connected solution for construction, and during the quarter Metropolitan Mechanical Contractors, MMC, a Revit customer, decided to go with our construction solutions over our competitors. Based in Minnesota, MMC, is a single source solution for the design and build of complex mechanical systems focused on quality, speed and sustainable outcomes, all driving towards a lower cost of ownership. After completing a pilot with a competitor, MMC was ready to move forward with the competitor, but they gave us one shot to demo our solutions due to our leadership in design. After one demo, they chose our PlanGrid solution and also decided to increase the deal to include BuildingConnected, two, integral parts of the Autodesk Construction Cloud. The fast ramp time and the ability to own their data, no matter what system a general contractor uses, were key differentiators and they were impressed by the ease of pushing awarded bids to PlanGrid. Selling synergies between our acquired sales teams and the Autodesk sales team also showed strong momentum this year and we expect it to be a business growth driver for us both here in the U.S. and internationally in FY2021. During the quarter, one of the largest mechanical subcontractors in Australia increased their deployment of our solutions. Historically, the customer was using BIM 360 Docs on some projects and was interested in using either PlanGrid or BIM 360 on additional projects. Our team explained the value PlanGrid brings to the field and BIM 360 Docs brings to the office, highlighting the long-term vision. Wanting to make a long-term investment and recognizing the power behind the integration, the customers invested in our portfolio. As demonstrated by this example, we believe we are better positioned than any other vendor to capitalize on the international opportunity and we are aggressively investing in fiscal 2021 to expand our reach globally. Other notable accomplishments of the year for our construction business include; PlanGrid delivered over $100 million in ARR, beating the target we laid out at the beginning of the year. BuildingConnected crossed 1 million users. The acquired construction solutions were included in 45 enterprise deals. The product teams rolled out a comprehensive long-term product integration plan and over 300 enhancements. I’m very pleased with the progress our construction business made in fiscal 2020 and even more excited to continue building our world-class platform. We also made impressive strides in our core architecture market, where we continue to benefit from customers migrating from 2D to 3D design. Arcadis, a global design and consultancy firm headquartered in the Netherlands, substantially increased their engagement with us this quarter as they work to become a leader in AI-driven design. Involved in some of the world’s most complex projects, Arcadis is aggressively transitioning from 2D to 3D collaborative workflows using Revit, Civil 3D, InfraWorks, and BIM 360. And they are not stopping there. We are assisting in their adoption of Generative Design with Fusion 360 as they are re-imagining traditional processes, like facade design, by exploring the redesign of elements without restrictions of traditional design processes and manufacturability. Moving to manufacturing, we continue to gain share and delivered revenue growth of 15% for the quarter and 18% for the year. Our advanced technology solutions are enabling our customers to migrate from traditional workflows to operate more efficiently in the cloud. We added 20,000 Fusion 360 commercial subscriptions this year, establishing us as the leading cloud-based multi-tenant design and make solution provider in the market. During the quarter, Spinner Group, a German manufacturer of radio frequency technology, invested in our Product Design & Manufacturing Collection over SolidWorks. Their decision was driven by the comprehensive value of the collection and the ability to work with just one partner versus multiple vendors for various point products. In another example, one of the world’s iconic guitar manufacturers standardized on Fusion 360 for design, replacing SolidWorks and Rhino. The catalyst was collaboration as Fusion enables them to collaborate across their acoustic, electric and PCB divisions for the first time ever. We are also seeing our leadership in BIM drive business with building product manufacturers as they need to fabricate products for buildings designed by our solutions. A multinational company, well known in their industry for drywall gypsum boards, selected our Manufacturing Collection and our AEC Collection this quarter to extend their offerings from drywall to pre-manufactured building components in the industrialized construction market. Our design and manufacturing solutions enable them to develop machines and factories for production, and our AEC solutions enable them to connect and work collaboratively with their customers. Adoption of generative design is also continuing to drive business. For example, Goodyear used generative design to optimize an internally produced hand tool. They were able to cut production time, design the tool 4x faster and make the part 10x faster than would have been the case using a traditional machining process. And by combining additive manufacturing with CNC machining, they reduced their overall material costs and manufacturing time by 10x. Business results like these drove an increase in their EBA investment, as Goodyear continues to drive faster innovation in design and manufacturing. Given that we just finished the Oscars, I also want to highlight some of the success we are having in Media and Entertainment. Many Autodesk customers are recognized for their industry leading work throughout the year. One such example is LAIKA, an Oregon-based stop-motion animation studio, recently nominated for an Academy Award and winner of the 2020 Golden Globe for best animated feature. LAIKA uses the full breadth of the Autodesk media and entertainment portfolio including 3ds Max, Maya, and Shotgun Software. Now onto the progress with monetizing non-compliant users. Our ongoing investments in digital transformation have helped us significantly in this area. As one indicator of this, I am excited to share that this fiscal year we signed 62 license compliance deals over $500,000 per deal and 14 of those deals were over $1 million. This is almost three times the number we did in fiscal 2019. The deals were across all regions and almost 20% of the fiscal 2020 deals over $500,000 were in China. We are very pleased with our success in monetizing non-compliant users so far and this remains a key long-term growth driver and area of investment. Moving forward, one of the key steps we are taking is moving to plans for people instead of serial numbers. This will allow us to better serve our paying customers and will make our solutions harder to pirate. Plans based on named users will give our customers visibility into their usage data allowing them to optimize their license costs and enable us to better understand their needs. We moved our single user subscriptions to named users in fiscal 2020 and will now transition all of our multi-user subscriptions. This will mark the final milestone to becoming a true SaaS company giving us the ability to deliver incremental value and customized services to our customers. We are also introducing a premium plan that offers additional security, tailored administration capabilities, support, and reporting. Please refer to the appendix of the slide deck posted on our investor relations website for more details. To close, I would like to look back at the last few years and take a moment to highlight what we have accomplished. Three years ago, we set a free cash flow target of $1.4 billion. This year we delivered on that target. We did what we said we would do. We are executing well and know how to adapt and flex in changing market conditions. We know how to manage our journey and have proven that with our fiscal 2020 results. Looking out to fiscal 2023 and beyond, I am more confident than ever in our strategy and the team executing on it. We will continue to deliver great value to our customers with our connected and comprehensive platform in Construction. We expect to keep gaining share in the Manufacturing market as it moves to the cloud with less siloed workflows, and – over time, we are going to increasingly monetize the non-compliant user base. We look forward to seeing many of you at our Investor Day on March 25, where we will have more time to share our strategic initiatives. With that, operator, we’d now like to open the call up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Saket Kalia from Barclays Capital. Your line is now open.
Saket Kalia: Hey, Andrew. Hey, Scott. How are you guys doing? Thanks for taking my questions here.
Andrew Anagnost: Hey, Saket.
Scott Herren: Sure, Saket.
Saket Kalia: Hey, I’ll focus my questions on some of the pricing changes here and maybe start with you Andrew. You talked about the introduction of the standard and premium plan. Could you just dig into what types of customers you think would opt for premium and sort of broad brush? How big of your base could that premium plan sort of cohort be over time?
Andrew Anagnost: Yes. All right. So the standard plan already exists. So remember, the standard plan is just subscription we have today. And I think one of the ways you want to think about premium is kind of like a mini enterprise agreement without the consumption element. So it’s going to appeal to someone of our larger accounts that get service through the channel. And it’s going to appeal to them for a couple of reasons. First off, some of the things that are included in the premium plan, include Single Sign-on support throughout the directory. So this is the way that the customer can manage their names, user sets, and deployed Single Sign-on across it. It’s easier for them to manage the users. It’s more secure because you can turn on and turn off users really quickly. So that right there is a huge benefit. The other thing that we’re consolidating in, and this is something a lot of our customers already have, is something called an ETR, which stands for extra territorial rights. And that is a something we’ve always sold on top of our traditional licensing to allow them to distribute licenses to subsidiary areas outside of their – outside of where their corporate headquarters are, all right. So that’s another thing that’s included in there. Obviously, another thing that appeals to larger accounts that are serviced by our channel. The other thing that they’re going to get is analytics capability. All of our customers are going to get analytics capability, but what’s going to show up in the premium plan is much deeper. We’re actually going to be making proactive suggestions with some of the analytics about how they can optimize and get more out of their investment with Autodesk or optimize their investment with Autodesk more precisely than they do. They also get a slightly closer relationship with Autodesk through the support terms that we provide. So you can see that it’s going to appeal to larger accounts. I’m not going to give you a percentage of the base in terms of what that means, we could try. But that’s who it’s going to appeal to and I think you can see how we’ve naturally introduced it. At the same time that we’ve introduced a discussion around ending the multi-user licensing, because it allows you to manage named users a lot more effectively.
Saket Kalia: That makes sense. And that actually dovetails into my follow-up question for you, Scott. Can you just talk about that shift of multi-user to named user licensing? I guess, specifically, one of your studies or sort of anecdote shown on how many sort of named accounts there are for – our named users there are for each multi-user license, if that makes sense.
Scott Herren: Yes, yes, it does Saket. And as you imagine, that’s something we looked pretty hard at as we designed the end of sale of multi-user and what that trade in program would look like. And it runs right around two to one. In other words, two named users end up on average being served by one multi-user license. So that’s the reason we set the trade on program the way we did. I think for some customers they will end up needing a few more single users to support their base, if they were running a little hotter than that and for some they’ll probably make the trade in program and in the future there maybe a chance for them to either right size that or take the additional budget and hop into premium with that. So it’s a – it was designed at right around the average of what we see in terms of actual usage today.
Andrew Anagnost: Because you asked about that training program, I just want to make sure that we’re all clear about the why of that program. Because there’s a couple of customer wise and there’s a couple of Autodesk wise. From a customer standpoint, a lot of our multi-user customers are already have named user, named user licenses in their accounts. They’re living in what we’ve affectionately call hybrid hell inside the company, where they’re trying to manage two types of different systems. This will put them all on our new subscription backend. So it essentially brings all of these customers that live in hybrid environments into our new backend and provide them all the same analytics that the named users are getting. So there’s going to be a lot of customer benefits associated, especially when you layer on premium because of the control and security it’s going to give you. For Autodesk, this gets us one step further to retiring older systems that are based on serial numbers, systems that kind of, we have to maintain, systems that have sync issues that get in the way of us knowing about our customers. So we’re going to have more knowledge about our customers. We have more information about what they’re doing and we’re going to be able to service them a lot better.
Saket Kalia: Makes a lot of sense. Thanks guys.
Scott Herren: Thanks, Saket.
Operator: Thank you. Our next question comes from the line of Phil Winslow from Wells Fargo. Your line is now open.
Phil Winslow: Hey, thanks guys for taking my question and congrats on a great close of the year. Just wanted to focus in on the different industry verticals, that you sell into, obviously, manufacturing AEC and obviously there’s a difference sort of between geos there. I wonder if you could provide us as sort of some more color and sort of how you closed out the year there. And sort of how you’re thinking about the forward guidance, sort of industry vertical of geo. Thanks.
Scott Herren: Yes, thanks Phil. And you may not have had a chance to know, it’s a busy night for everyone, but we posted some details by both geography and by product family on the slide deck that’s on the website. And what you see is we were really strong in both, we were strong in all three geos, both in the quarter and for the full year and across all product sets. The one anomaly and we talked about this in the opening commentary was in Media & Entertainment, which actually showed a slight decline for the quarter year-on-year. And that was really driven by one large multi-year upfront transaction that was done in Q4 a year ago. That skewed that. For the full year, Media & Entertainment grew about 9%. So we really saw strength across the board. Our expectation looking into fiscal 2020, I mean, you can see we go from an overall revenue growth rate of about 27% this year to one that’s in the 20% to 22% range next year. Part of that is the – there was about three points of added inorganic growth to our fiscal 2020 numbers. So yes, it takes it down to about 24% compared to 20% to 22% next year, which is just the law of large numbers in absolute terms. We see growth in revenue and a strong percent growth next year as well. And any color you want to add, Andrew.
Andrew Anagnost: I mean the only color is our M&E business, because of its size. It just continues to be sensitive to large deals. It always has been because of its size and even the sub-segments within it are sensitive to large deals. That’s just the nature of that business.
Phil Winslow: Yes, got it. And then also just in terms of opportunity that the non-compliant users, obviously you called out some pretty significant change over. I mean, obviously at Analyst Day last year you talked about, I think it’s about $1.7 million, you’re still on the base. What do you think about just the growth that you saw in your overall user base this year? How much of it would you call for just core growth versus actually shifting those non-compliant users…
Andrew Anagnost: Most of it’s – yes. Sorry, sorry, Phil. Most of its core growth, Phil, so – but as I’ve said consistently over and over again, we’re getting better and better at talking to understanding and converting these non-compliant users. That’s why we gave you some of those stats as you can understand directionally, how this effort is going every year. It’s going to continue to get better and better and better. Our investment both from a system side and from our people side, in terms of people that actually handle directly non-compliant negotiations with customers are going up. So you’re going to see this consistent performance and most of that growth is just the core growth. But I hope you’re getting a sense for how this non-compliant usage starts to become quite an engine as we move forward.
Phil Winslow: Got it. I meant to say 12, not 1.7. Sorry about that. All right, thanks guys.
Andrew Anagnost: Thanks, Phil.
Operator: Thank you. Our next question comes from the line of Matt Hedberg from RBC Capital Markets. Your line is now open.
Matt Hedberg: Hey guys, thanks for taking my questions. Congrats on a really strong end of the year. I guess, for either Andrew or Scott, I’m curious – Andrew or Scott, I think you mentioned, you’re taking into account the current macro with the coronavirus and exposure to China is small. I guess I’m wondering, how you think about the broader APAC region Japan or other regions. And have you seen anything yet thus far a month into the quarter.
Andrew Anagnost: Yes. I’m glad you asked this question. First off, the whole coronavirus situations like the human situation, it’s kind of a human tragedy. And the best thing that can happen here for all of us is that it just gets resolved and contained relatively quickly and there’s a vaccine next year for the next flu season. But from a business perspective, how it impacts you is depends on your business. And we’ve looked pretty deeply at our business and here’s kind of a lay of the land I’ll give you. If you are a software vendor that’s exposed to big deals from especially large industrial that has kind of global supply chain disruption, you’re going to feel some effects from this, all right. That’s not us. In addition, if you’re in the travel industry, obviously, you’re going to feel some effects from this. But here’s what’s different about Autodesk and here’s why I want to help you understand how we look at the business and why we took into account from took into account some China FX in Q1. But we don’t see longer term effects at this point. Okay? Now I will say if this becomes a pandemic, all bets are off and we’ll have a different discussion. But right now our business is, is what we call it, almost micro-verticalized. We cut across lots of different verticals and it’s not just industrial verticals, it’s company size verticals. We go from the biggest to the smallest. Our business, especially in the first half of the year is not heavily dependent on large deals and at large companies that particularly large industrials. So we don’t see that kind of sensitivity in our business. But in addition, and I think this is super important for you to understand, it’s one of the great things about being an indirect company. Our business happens hyper-locally and what I mean by that is the VARs, especially in APAC, the transition, they transact with the customers, are actually new to the customers. All right? You’re not dealing with a situation where people travel or there’s a diaspora of salespeople heading in various directions to get the business done. Customers need our software and they need your software is now and the VARs are there. So this combination of this micro-verticalization, that spread across various companies of various sizes and its hyper locality of our business is why when SARS hit last round, we didn’t see much impact on our business. So, right now what we’ve done, we looked at China, obviously we just said alright more China, China was already having issues as well. So, we prudently looked at Q1 with regards to China and looked at the short term impact but we don’t see right now any other impacts in our business. Of course, like I said earlier, the pandemic hits we’ll have a different discussion, but right now I just want you to pay attention to that notion of highly verticalized micro verticals, different customer segments and hyper vocal, which is a great advantage of where we’re at.
Scott Herren: And Matt if could just tag on to that because there may be some confusion also with our Q1 guide relative to what’s out there and facts said. And of course, what’s in facts said is unguided, on a quarterly basis it’s interesting that it shows sequential growth. The consensus does from Q4, which of course is not what we experienced last year, since we’ve made the shift, last year we saw a sequential decline and even saw a sequential decline last year, despite the fact that Q4 of 2019 only had a month of PlanGrid included and Q1 had an entire quarter of PlanGrid included and we still saw a sequential decline. What drives that by the way, is not a recurring revenue decline and as we look at our guide for Q1 of fiscal 2021 we’re not seeing recurring revenue decline. What we are seeing is and we’ve talked about this in the past, this license and other line, it’s always the biggest in the fourth quarter. It has to do with largely to do with some products that we sell that we sell on a ratable basis. But the accounting still requires them to be recognized upfront. So, if you look at our license and other line in the fourth quarter, the quarter, we just announced it was $42 million. Now we think it’ll be about half that big in Q1. That’s really what’s driving the sequential decline. And so without commenting on how fast they got to nine, 10, I’ll tell you, it’s not a, we haven’t taken into account a significant headwind from coronavirus. We expect our recurring revenue to actually show a slight growth sequentially again.
Matt Hedberg: That’s fantastic. Great color. And then maybe just one more for you, Scott. You’re not guiding to ARR, which I think most of us expected. Given, it’s not a perfect metric for you guys like we saw on Q3. I’m just sort of curious if you could provide a little bit more color on that. And do you still think you’ll talk to like your fiscal 2023 ARR targets at some point.
Scott Herren: You know, Matt, we’re not talking about it and you nailed it. It’s because of some of the anomalies in the way we defined ARR and we talked about this extensively on the Q3 call in relation to our Q4 guide. It was a great metric as we were going through the transition and our P&L had a mix of significant amount of upfront plus ratable. You needed to see how we were building that recurring revenue base. At this point we’ve built a recurring revenue base of 96% of our total revenues. Right? So, doing ARR, which when I gave you an annual number was in effect saying that’s the fourth quarter recurring revenue and multiplying it by four. It didn’t accumulate through the year. That’s why we pulled back on the metric. I think you get as good, if not better, insight from just tracking revenue and knowing that 96% of that is recurring. You will still be able to calculate it, by the way. I don’t plan on focusing on it during these calls, but if you look at our P&L, remember the way we calculated ARR was subscription plus maintenance revenue actual reported for the quarter times four. We’ll continue to report in those line items. So you’ll continue to be able to track it if you want. I just think it’s a less reliable metric of where we’re headed, than revenue or current RPO, which you see in our results. Current RPO is up 23%.
Matt Hedberg: Super helpful. Well done.
Scott Herren: Thanks Matt.
Operator: Thank you. Our next question comes from the line of Jay Vleeschhouwer from Griffin Securities. Your line is now open.
Jay Vleeschhouwer: Thank you. Good evening, Andrew. Scott, you used the word aggressively during your prepared remarks, I believe to refer to internal investments you’ll be making. And on that point you now have by far a record number of openings in sales related positions.
Andrew Anagnost: Truly?
Jay Vleeschhouwer: We counted. Yes, yes. By far the highest I’ve counted in eight years. And it’s for territorial account execs, named account, inside sales, license compliance. And so the question is how are you thinking about that as a principle cost driver to your expense targets this year? And more importantly the production or revenue production effects you would expect from that kind of substantial onboarding of sales capacity. Number two you used to give a metric prior to the transition of your annual license volume. And the last reported numbers in the way you used to calculate it, were about 600,000 to 650,000 licenses. If we continue to follow that method and impute the volume of your business, you are now, it seems well above those last given numbers from a few years ago. It would seem now the consumption of Autodesk product licenses putting in particular collections is now in the high six figures. So, well above prior levels. So would you concur with that calculation that your intrinsic demand consumption of Autodesk product is well above what it used to be under the old way of counting? And then finally with regard to the changes in pricing to a single user preference, would there be an implicit connection there, Andrew, to your view of an eventual consumption model? Can you get there only if you do in fact have this kind of named user pricing?
Andrew Anagnost: Wow, that was good. You asked two follow-ups to the question. Okay. So first off, let me, let me start back to your first question about investment. So I want, I’ll speak for Scott and then Scott can speak for Scott. I want to make sure you’re clear, we are not losing any of our spend discipline at all. All right? We’re actually investing below our capacity to kind of make sure that we’re staying in line with things here. You’re seeing some of the areas we’re investing in go-to-market, we’re also investing in R&D. We’re investing big in construction. That shouldn’t surprise you but we’re also investing in fusion. We’re investing in the architecture with some of the things we’re doing around generative and other types of things for architects and Revits, Revit as well. We’re also in investing in our digital infrastructure. So yes, we are investing, right? And we said we would invest, but we’re investing prudently, we’re investing smartly and we’re excited about it. All right. Because we see a lot of return from the investments we make and we’ve been very deliberate about this. Now on your second point about the licensed growth, I’m not going to comment specifically on that, but you know, I can, one thing I can tell you is that the lower upfront costs of our products and the way we’re going to market right now, it makes a difference. Okay. Too many people spend a lot of time talking to the customers that were our old maintenance customers and how this transition has been hard on them and they’re confused and they’re not sure, but there is a whole swath of customers that are just sitting there going, how did Autodesk stuff get so cheap? All right. And that seems to be the forgotten people and yes, they’re coming in, they’re excited about our products. Some of them are using Revit when they never thought they could use Revit or they’re using an Inventor or they’re using Max. And if you’ve seen some of the things we’ve done with Max where we have an indie version of Max and I mean there’s whole gamut of flexibility we’ve layered out there for people that really changes the way people buy our software and who is buying it and who’s paying for it. And it is an exciting change and yes, it has impacted on us. I’ll say more about the specifics of what you asked for there. Now your third question and I remembered all three. Now about this move to the named user. Look, we, it’s imperative for us to try to complete the transition to SaaS excellence to be a named user company. And once you get people to named users, you’re also getting them on our new subscription backend infrastructure, which is super important. And as you correctly said, that backend infrastructure provides new types of flexibility that weren’t available in the previous hybrid world of dangling on some of the serial number based systems and some of the other systems. So, what you’re going to see over the next 12 to 24 months is increasingly rolling out more flexibility to our customers with regards to how they can apply this named user capability in multiple ways. You mentioned, consumption, the premium plans kind of a layer in that direction. So you’re right in assuming that we’re going to be able to do a much more flexible thing with our customers as a result of what we’ve done. It’s been a heavy lift to get here. All right, it’s been an absolute heavy lift but we’re going to be 24 months from here and our customers are going to be looking back and say, I don’t know, what I was complaining about because this is a better way to engage with Autodesk. Scott, do you have something to add?
Scott Herren: I’d be remiss on your first question, if I didn’t add, besides we’re continuing to maintain spend discipline. It was – we built it up pretty diligently over the four years of staying flat in spend, that’s not going away. But I think you also have to look at the increased spend, not as increased spend, but we’re increasing margin. We’re at a point in our growth story where we can both increase spend to drive future growth and increase margin. So we added 12 points to our operating margins in fiscal 2020. You see the midpoint of our guide, we’re adding five more points to our op margin in fiscal 2021 and we’ve said, it’s going to be 40% by the time we get the fiscal 2023. So the conversation around spend, while interesting if what you’re looking for is where are we investing, that’s a good conversation to have. You should know and everyone should be confident. We continue to manage that very diligently.
Jay Vleeschhouwer: Thanks very much.
Scott Herren: You’re welcome.
Operator: Thank you. Our next question comes from the line of Heather Bellini from Goldman Sachs. Your line is now open.
Heather Bellini: Hi guys. Thanks for taking the question. I appreciate the time. Most of mine have been asked, but I just – I wanted to follow-up on the multi-user pricing, change that you had and totally understand, Andrew, your comments about kind of you need to go to a named user pricing model. But just wondering if there was anything you could share with us about maybe the impact that that helped drive in the quarter that just ended. And how you’re thinking about like what’s reactions been – what is the reaction been from customers who are going to convert to this so far? What’s their feedback to you on it? Thank you.
Andrew Anagnost: Good. So a great question, Heather. Good to hear from you. Let me give you some color here. So first off, we did increase the price of new multi-user licenses, new, all right. And renew is exactly the same price, right. So it was a 33% increase in multi-user. This is going to have a very little impact on our existing customers, right. The reason we did it was very simple between now and May, when the two for one starts in earnest, we’ve now set the price so that gaming is removed from the system. So what we didn’t want to see was this kind of like sudden hoarding of multi-user licenses heading into the May two for one. And that’s why we did this. It was basically a signal like, hey, here’s where we’re going. We’re heading into this new direction. We did not pull any materially significant business forward into Q4. This had no material effect on our Q4 results. And to be very clear, I’d repeat that, no material fact on our Q4 results. All right. This was purely a hygienic change to line up everything to the two for one offer. Most customers will not see a huge impact on this, except for the few that are going to be adding some multi-user licenses in there. It’s really too early to hear what customer impact is. We did hear from some of our early evangelists and as a result, we were able to kind of adjust some of the – some aspects of the program and do a few things that they kind of address some of their concerns but so far, it’s too early.
Heather Bellini: Great and then – I’m sorry, go ahead.
Scott Herren: A huge amount of pushback on that. Yes, this is Scott. I wouldn’t expect a huge amount of push back on that given that we designed it to be two for one, both in terms of price if you buy a new multi-user now, but at the trade end point because that’s what we see is the average number of single user or named users that are being served by a multi-user license. So it should be fairly neutral to most of our customers.
Heather Bellini: Okay, great. And then I just had one follow-up, if I may, just about the construction market and the deals you close there in the quarter, could you share with people kind of, is this typically a greenfield market where there is no incumbent provider except maybe excel or notebooks, or is this one where – when you’re closing business now it’s – is there any, any legacy replacement of a vendor and just kind of how do you look out and see the competitive environment? Thank you.
Andrew Anagnost: Yes. For the most part, you’re going in and you’re digitizing a process from scratch for them. Now we do have a competitor we compete with frequently. We’re winning and beating them more and more. And we’ve actually kicked them out of some of our accounts because our customers do not like their business model and that will increasingly make it easy to kick them out of our accounts. It’s just not a good long-term business model. So we do have competitors that go into the same accounts, but essentially what you’re doing is you’re replacing analog with digital and – or you’re replacing e-mail on mobile with devices with some kind of process and process control. Now as we get deeper and deeper into pre-construction planning, model based construction management, interdisciplinary digital twins and all of the things that kind of build out on this, you actually start fundamentally changing the customer’s processes. But Heather, you’re essentially right, you’re replacing analog with digital and that’s where the money is and that’s where we’re going.
Heather Bellini: Thank you.
Andrew Anagnost: You’re welcome.
Operator: Thank you. Our next question comes from the line of Brad Zelnick from Credit Suisse. Your line is now open.
Brad Zelnick: Fantastic. Thanks so much. And first, I just want to follow up on Heather’s question on construction. It’s great to see the enthusiasm in Construction Cloud. Can you talk about some of the learnings from combining the product portfolio and how you’ll be more competitive in fiscal 2021? And also how big of a component of your mix can Construction Cloud become as we approach your fiscal 2023 target?
Andrew Anagnost: Yes. Okay. So first let me ask you about the customer reaction, the Construction Cloud and one of the things we learned. So one of the first things we learned is that we had a winter in BIM 360 docs because what we did when we were building kind of this next-generation platform. And it just so happens that all the acquired solutions hook incredibly nicely into this platform, which is super important because if you want to compete both inside the infrastructure business, with the department of transportation and internationally, you need what’s called an ISO compliant common data environment, which is what docs is going to be providing for our customers. So it’s actually a huge competitive advantage to have this environment. And we learned pretty quickly that the work we were doing with docs really kind of played nicely into that. We also learned pretty quickly that we have a huge mobile advantage with what we’ve done with the PlanGrid products and what the PlanGrid team has done. And we’re leveraging that advantage and expanding it into other parts of our portfolio. We also discover that the building network of BuildingConnected that by the way, is getting integrated with PlanGrid and getting integrated with some of these other solutions is an amazingly important asset, not only to our customers, but to us in terms of understanding the construction climate. We also learned what it takes to go internationally, so one of the things that we’re well-positioned to do better than anyone and we’re investing pretty heavily in that international expansion for our construction portfolio. Construction and international business, it always has been, it’s local, but it’s also international. And between our investment and a common data environment, go-to-market stand up in various places, you’re going to see us start to grow internationally pretty significantly and there’s nobody that we compete with that can actually do some of the things that we’re doing there in terms of the construction environment. Now there was another part to your question. I want to make sure I answer it because I got carried away on what we learned. What was the second part of that, Brad?
Brad Zelnick: Second part was just asking how big of a component of your mix, Construction Cloud has become as we look to fiscal 2023?
Scott Herren: Yes, Brad. Thanks for that. I don’t certainly want to get into giving that kind of granularity on our fiscal 2023 guidance. I’ll give you a couple of comments though that we’ve said a few times in the past and still believe construction’s the next billion dollar business for Autodesk. What you see is on the – in the wake of the transactions we did in fourth quarter last, we’ve done a great job integrating those. We haven’t lost any momentum in those acquired companies. And in fact, have seen an updraft in our organic construction business as a result of that. So scrolling on a really nice path at this point, you’ve seen what the inorganic piece looks like in our results. Looking at our total cloud growth gives you a good sense because BIM 360 is the organic piece of our construction business and it’s the biggest piece of our cloud results. So you get an overall sense of where construction is headed for us. And it’s a sizable business and will continue to grow, but I don’t want to get into trying to give you a – you here’s the, let me start to break down the components of our fiscal 2023 targets.
Brad Zelnick: No, that’s helpful, Scott. I appreciate it. And if I could just sneak in a quick follow-up for you about long-term deferreds, which were much higher than we expected, just given your continued traction of multi-year, how should we think about long-term deferreds going forward, especially as you make changes to some of your multi-user products?
Scott Herren: No, that’s a great question. So thanks for asking that. And obviously, the long-term deferreds are a result of multi-year, right, of multi-year sales and we said this is the year we expect multi-year sales to revert back to the mean, right to what we have seen, when we sold multi-year on maintenance historically. And that’s what you see that one of the effects of that is of course, it drives long-term deferred revenue and that’s what you’re seeing in our results. I thought mid-year that this was going to get that long-term deferred as a percent of total deferred revenue would be in the mid-20% range. It’s a couple of points higher than that. As we’ve analyzed that and we’re keeping a close eye on how multi-year is running as we’ve analyzed it, it still feel like that’s at a sustainable level and it’s below what we saw with maintenance. When we offered almost the exact same offer for three years, paid upfront on maintenance, long-term deferred got up to 30% of total deferred at that point. I don’t see us getting to that level. In fact, I think long-term deferred moderates a bit looking at fiscal 2021 as a percent of total deferred versus where it is. But we’ll stay on top of that. And if to the extent we need to make an adjustment in that offering, we’ll make that adjustment. I certainly don’t want to see that run at a level that’s unattainable or unsustainable. I think, Brad, what may be implied in your question that you didn’t ask is, is this going to create a headwind for free cash flow. And so besides the comments I just made on kind of the steady state that I see multi-year getting to, bear in mind one other fact, and we’ve talked about this but not since last Investor Day, that as we look from fiscal 2020 out through fiscal 2023, more and more of our free cash flow, in fact the majority beginning of this year of our free cash flow will come from net income as opposed to coming off the balance sheet and growth in deferred revenue, right? So as we scale both the top line and improve our margins out through fiscal 2023 more and more of cash flow comes right off the P&L in net income versus coming in growth in deferred.
Andrew Anagnost: This is someplace where I have to chime in just a little bit since you mentioned the free cash flow ramp. One of the things I want to make sure we all kind of like think up on here, you look back three years, here we are three years later, okay, the business ended up free cash flow wise where we expected it to be. The path had numerous twists and turns, and numerous puts and takes. We modeled it according to certain assumptions. We adjusted those assumptions as we went along. We have an execution machine that knows how to adapt. I just want you to remember, when we give you three-year targets, we are fairly confident we know where we’re going and we know how the free cash flow is going to ramp and we know it’s going to continue to ramp. We also know how to adjust as we execute through here. And how to move forward and make sure things happen the way they need to happen. And I just told you before, the safest assumption is to assume we’re going to do what we tell you we’re going to do. And if there’s any kind of hidden things like Scott said in that question, I want you to know we’ve got our handles on the controls here for this business.
Brad Zelnick: Thank you for a very complete answer. Thank you.
Scott Herren: Sure. Thanks.
Operator: Thank you. Our next question comes from the line of Sterling Auty from JPMorgan. Your line is now open.
Sterling Auty: Yes. Thanks guys. Two questions on the construction area. The first one is, when you look at your solutions now, where are the biggest pockets of users in your customer base, so is it GC subcontractors, owners, et cetera? Just to understand where you’re seeing the biggest buying power at the moment?
Andrew Anagnost: Okay. So right now GCs are some of our biggest customers, subs are starting to ramp up quite significantly, all right? Because remember, with the BuildingConnected network, we have a lot of access to subs now. So you’re engaged with the subsea ecosystem in a way that where you were never before. GCs are the biggest buyers. But you’ll also be surprised interdisciplinary engineering firms are big buyers as well because of their intimate connection to construction planning processes and things associated with that. But, yes, starting with the GCs, that has been moving down markets quite significantly as we’ve matured.
Scott Herren: Yes, we gave an example, in the opening commentary of our significant subcontractor.
Sterling Auty: All right. And then the one follow-up would be there’s a lot of components that make up that construction ecosystem from project management to bid management to the financials, et cetera. Can you highlight with the solutions that you have, where do you think your biggest areas of strength within that group is today? And directionally, where do you see building out that portfolio?
Andrew Anagnost: Yes. So there’s two anchors of strength that we have that are pretty deep, one is field execution. We are by far massively advantage on the field execution side. The other area that is closer to the front end of the process is in preconstruction planning. There’s another area where we’ve brought tools and capabilities close to the building information model and all the things associated with that that are pretty powerful. Now there’s one kind of thin layer of technology where we’ve been playing catch up and actually it’s not really a very deep technological mode to be honest, but it’s in project management and in project costing. That’s something where we’ve been investing a lot, it’s where a lot of the R&D investment has gone. That gap is closing incredibly rapidly. The team is just pounding out enhancements and that’s the area we pay attention to because it’s not technologically sophisticated, but it’s important and it’s one of the areas that we’ve deployed to add those things and that’ll allow us to connect, feel the preconstruction planning in a way that other people simply can’t.
Sterling Auty: Understood. Thank you.
Operator: Thank you. Our next question comes from the line of Tyler Radke from Citi. Your line is now open.
Tyler Radke: Hey, thanks a lot for taking my question. So maybe you could just talk about this new pricing you’re doing on the multi-user that named user? And maybe just frame it in the context of some of the other pricing changes you’ve made. And in terms of financial benefit, what’s kind of the timeframe that you expect to see the uplift play out? And should we be thinking this is kind of a possible source of upside relative to the existing 2023 targets which were put out before this plan was announced? Thanks.
Andrew Anagnost: So, Tyler, are you referring to the premium plan or are you referring to the new multi-user price? The question I answered earlier. The pricing on multi-user, we don’t see a significant upside being generated by that. That was a tactical pricing action designed to prevent gaming as we headed into the two for one exchange in May. So it’s not – that is not an accretive change, Tyler, that’s going to drive business. The bigger story is the premium plan that layers on top of the multi-user plan that will be a long-term continuing opportunity for us. And it should be one of those things that increases your confidence in our ability to hit our FY2023 targets, all right? And I think that’s kind of the way you should look at it. Scott, did you want to add anything?
Scott Herren: No, I think that’s right. I think the gist of your question, Tyler, was around multi-user and we did touch on that earlier. And I think the only thing I’d add again is that the way we set the price and the trade in program around multi-user moving them all to named user was in sync with our analysis of how many named users today are being supported by a given multi-user. So it should be pretty much a wash for most of our multi-user customers.
Tyler Radke: Great. And as I think about the premium plan, sounds like that’s a multi-year event. I mean, as I think about the existing 2023 targets, I mean, those have been out there for a number of years now. Any chance that come Analyst Day that maybe we look at targets beyond that? Or what’s kind of your – how are you thinking about kind of long-term targets now that 2023 isn’t that far away?
Scott Herren: Yes, I’m not – I think I feel good about the targets that we’ve laid out for fiscal 2023. Let me start there. And we sort of glossed over it given all the other news that’s in the environment, but I’m pretty proud of the fact that we hit the number that we laid out three years ago for free cash flow at the end of fiscal 2021, which was no small task given the amount of transition we still had to go through and the changes we made in execution to get there. So we probably had to start there. That’s a big stake in the ground, a big milestone for us. Looking at fiscal 2023, I feel equally confident in our ability to hit the targets that we’ve got out there of $2.4 billion in free cash flow. Looking beyond that, I think we will continue to see the same trends that drive growth out through fiscal 2023, of course, extending beyond that. I think that relative magnitude of some of those will change. Obviously, construction will be a bigger driver as we go further out in time. I think where we’re headed with Fusion in the manufacturing world will become a bigger driver further out in time, but many of the same drivers that get us to those 2023 targets will extend well beyond fiscal 2023. I’m not inclined at this point to put another quantitative target out though beyond fiscal 2023.
Tyler Radke: Great. Thank you.
Scott Herren: Thanks, Tyler.
Operator: Thank you. At this time I’m showing no further questions. I would like to turn the call back over to Abhey Lamba for closing remarks.
Abhey Lamba: Thanks, operator, and thanks everyone for joining us today. We look forward to seeing you at our Analyst Day on March 25 at our San Francisco office. Please reach out if you have any questions following today’s call, I would like to register you for the Analyst Day. With that, we can end the call. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.